Matthieu Malige: Good afternoon to all of you, and thank you for attending our 2024 Q3 sales call. I'm here with Sebastien Valentin, our Head of Investor Relations. Let me start with a few key highlights before we get into the details of our third quarter sales. The quarter was marked by a sequential improvement in activity, excluding Argentina. Total group sales were up 8.8% on a like-for-like basis, reflecting a positive inflection in most markets. Like-for-like sales growth was supported by the sound execution of our strategic pillars and tangible signs of better consumption trends in France and Europe. Over the quarter, we saw an overall improvement in volume trends in most European markets. There were also encouraging signs of trading up. These notably included a pickup in sales of both national brand and organic products, which had been pressured through the high inflationary period. Month after month, consumer confidence indices keep rising. They are now at their highest level since the beginning of the inflation crisis. The key strategic initiatives of our 2026 fixed plan continued to progress well with notably another growth of our Carrefour branded products. They represented 36% of food sales this quarter versus 35% last year. Regarding e-commerce, GMV grew 20% in Q3 on the back of strong historicals at plus 30% in Q3 2023 driven by Brazil. Another highlight of the quarter was our continued investments in competitiveness in France and other Europe. Consumers have perceived the positive impact of our pricing policy on their baskets. Our price image improved sharply. Our group Net Promoter Score increased by 5 points versus last year. These price investments are supported by the good execution of our cost savings plan. As a reminder, we announced last April, the reinforcement of our cost reduction dynamics with a new target of EUR 1.2 billion for 2024 versus EUR 1 billion initially. We confirm this objective today. In light of these elements, we confirm our financial targets for full year 2024, i.e., an increase in both EBITDA and recurring operating income and a net free cash flow in line with the Carrefour 2026 plan trajectory. Let's now dive into Q3 numbers, starting on Slide 3 with group sales. Total sales for the quarter reached EUR 23.98 billion, increasing by 12.9% at constant currency. Group like-for-like sales were up 8.8%. Expansion and M&A had a positive contribution of 5.5% over the quarter, mainly thanks to the consolidation of Cora & Match. Petrol contributed negatively for minus 1.2%, mainly driven by lower volumes. The calendar effect was slightly negative at minus 0.2%. ForEx had a strong unfavorable impact on total sales of minus 11.4% over the quarter, essentially reflecting the depreciation of the Brazilian real and Argentinian peso. In total, reported revenue was up 1.5% in Q3. Moving on to more details on the performance in France on Slide 4. Like-for-like sales were down 3% in Q3, mainly reflecting our continued price investments over the quarter on top of the full impact of cumulated price decreases in H1 and Q4 2023. The minus 6.1% like-for-like in Hypermarkets is mainly explained first by the depth of our price investments, which have particularly -- which were particularly material in the formats and second, by lower promotions on HPC in the market following the Descrozaille law during the back-to-school period, a period traditionally intends for such promotions. Again, in Q3, there was roughly no reaction from competitors to our price investments. As a result, Carrefour France competitiveness is now back at its best level since 2020. This is better and better perceived by customers as highlighted by a clear improvement in price image and an increase in French NPS by 5 points. The quarter was also marked by a significant increase of our market share in value. Notably driven by the consolidation of Cora & Match. In volume terms, our market share has been stable since May on a comparable basis. So things are going globally per plan in France, and we confirm our ambition to stabilize or slightly grow profitability in the country over the full year. Moving on to Europe on Slide 5. As for France, we decided to strengthen our price competitiveness in all our European markets. After some expected pressure on sales in H1, we started to see a sequential improvement in activity in Q3 with like-for-like sales down minus 1.5% in Q3 versus minus 2.7% in Q2 and a solid exit rate. As in France, customer purchasing patterns improved in most countries with a better dynamic in volumes. In Spain, like-for-like sales turned positive in September, both on food and nonfood with positive volumes on FMCG projects. Like-for-like trajectory in Italy improved on the back of reinforced price competitiveness. Besides, we kept transforming our store portfolio with ongoing sales and franchise deals of convenience stores and the first 2 transfers of hypermarkets to lease management in the country. Belgium faced high comps, mostly related to the opening of Delhaize stores on Sundays following their transfer to franchise last year. In Romania, Carrefour posted solid momentum with positive volumes over the quarter. Cora stores are progressively ramping up as planned. Last, the Polish market was still highly competitive over the quarter. We recently announced the appointment of a new CEO in the country. His first mission is to recreate a positive dynamic and restore momentum for Carrefour in Poland. Let's move on to Latin America on Slide 6. The quarter was marked by a strong performance across all formats in Brazil, with a market which remains well oriented with continued improvement in volumes, a mid-single-digit food inflation and solid consumption trends. In this context, like-for-like sales were up 5.8%. Atacad�o posted an increase in like-for-like sales of 5.6% outperforming the Cash & Carry market. Commercial initiatives continue to bear fruits, notably the rollout of service counters now present in 151 stores. Converted big stores delivered a strong plus 14% like-for-like growth in Q3 on the back of particularly high comps with 22% like-for-like in Q3 2023. Commercial momentum at Carrefour Retail accelerated over the quarter, with sales up 7.1% like-for-like compared to 2.3% in Q2. This improvement is a result of the adjustment of the commercial strategy alongside the development of a tailored offer for B2B customers. Sam's Club's performance continued to be well oriented with like-for-like sales up 3.2%, supported by a 35% increase in active members over the quarter. Reported sales were actually up 16.9%, including the expansion impact related to 11 openings since Q3 2023. E-commerce GMV grew strongly with a 21% increase in Q3, driven by food sales. Last Q3 showed another strong performance at Banco Carrefour, supported by the diversification of the offering and the continued capture of new clients at converted stores. A quick word about Argentina, where Carrefour's performance was once again particularly strong in an environment shaped around pressure on consumption and a fast slowdown in inflation. A few words on our EUR 700 million share buyback program on Slide 7. The program is almost over for the year. We have already repurchased 41.9 million shares up to October 17 for a total amount of EUR 616 million. The total net number of outstanding shares amount to 652.3 million shares. In summary, the conjunction of the continued progress in the execution of our Carrefour 2026 plan, better price positioning and the encouraging signs of a positive evolution of consumers' purchasing behavior bodes well for the end of the year. The sequential improvement of the activity in Q3 in most European countries is confirmed in October, and so has the strong commercial momentum in Brazil. Altogether, with a more favorable market share dynamics, we are well positioned and approach the end of the year with confidence. On this basis, we confirm all our financial objectives for the full year. I thank you for your attention. S�bastien and I are now happy to take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Izabel Dobreva from Morgan Stanley.
Izabel Dobreva: My first question is on the like-for-like of Hypermarkets in France, which has declined by 6%. My question is, what is your outlook for the rest of the year? Should we expect it to stay negative at the Q3 run rate, so minus 3x nonfood in Q4. Is that the outlook? And then linked to this, how should we think about the organic margin development in France in the second half given the like-for-like development in hypermarkets? My second question is on Brazil. Could you talk a little bit about the penetration of installment payments at Atacad�o? And how has this evolved sequentially in the quarter? And what do you see in terms of incremental sales gains from this initiative? And then my final question is a quick one on your net finance costs. Could you update us on your thinking there in terms of net finance costs for the full year given the now likely increases in interest rates in Brazil.
Matthieu Malige: Thank you very much, Izabel. So first, on the hypermarket in France and you have a continuation on the margin outlook for France. So first, let's come back on the sales dynamics behind the number. So first, as I said a minute ago, we have had significant price investments over the past 12 months, specifically on the hypermarket format. So clearly, we have a cumulative effect of all the price investments which get to a sort of peak in Q3. Then there's been, as you know, the back-to-school campaign is typically very promotional, and table on HPC products. And so we have reduced -- we and the market has reduced promotional intensity on this category, which is negative in the market since the implementation of the law. And so that has been a negative versus sales last year. Then last year, in September, we had our 60th birthday at Carrefour, and so that was also a time of highly promotional period. So that's for the trend, then we'll see, it's too early to give you an outlook on the sales trend for the end of the year. Again, just highlighting that consumption trends are improving. Volume trends in the markets are improving that our price image and price perception has regularly improved, that we have implemented further price decrease over the course of the summer. And so we know that it takes a little bit of time for this to be well perceived by consumers. But we think that we have overall a good positioning of our commercial offering of the French business. Let me now turn to the second part of your first question is how does that relate to our outlook for the second half. So again, our ambition and I confirm that in my speech a minute ago is to stabilize or slightly grow profitability in France for the full year. So we confirm today this ambition. You remember that there was a slight pickup in profitability in H1 in France. We think that the dynamic of the business in H2 in terms of recurring operating income should be similar to what we experienced in H1. It's a little too early, you know that we have very important weeks for business ahead of us. It's too early to know if it will be stable or slightly growing in H2 that's where we see the trend. Let me now come to your second question, which relates to installments in Brazil. So Installments, 3x installments in Brazil have been implemented earlier in the year. They've been implemented actually by all the market, all competitors. And so it's become a sort of new normal to offer the service. So Atacad�o has offered the services as well. Then it has grown a little bit. It's it's low to mid-single digit as a percentage of sales. Obviously, we need to offer the service, then we don't necessarily need to promote the service to the consumers that are coming to the stores. So it's still early days, but it's not gaining traction? It seems to be under control. Then your last question is on the net finance cost. Well, nothing specific there, we are profit in July.  Nothing specific.  You're right.  There's a little bit of interest rates increase in Brazil with the Central Bank, which has increased its rates and further increase, which forecast for the end of the year. On the contrary, we have some decrease of rates in euro. And we have some -- not only have long-term bonds. We do have long-term bonds, but we also have short-term financing, which is more on the variable rate basis. So nothing significant to report on the net finance costs for the year versus what we discussed in July.
Operator: And your next question comes from the line of Monique Pollard from Citi.
Monique Pollard: Three hopefully quick ones, if I can. The first was just on the cost saves. Obviously, you've confirmed the guidance on the EUR 1.2 billion cost saves for the year. But just wondered if you could give us an update on where you are year-to-date versus the EUR 580 million that were achieved during the first half. The second question was on Cora & Match. Just if you could give us an indication of how much market share you think those banners have lost over the past year and whether there is still some market share leakage you're seeing under those as you integrate? And then finally, again, on France, obviously, you talked about on a sort of organic basis, being back to stable volumes. Just when do you think you might get to the point of taking some organic market share in France, given that the price perception is now starting to feed through to the customers.
Matthieu Malige: Thank you very much, Monique, for your questions. So first, on the cost saves. So we don't import on the quarterly basis on the cost saves. But that we reported on a half year basis, it was, as you rightly pointed EUR 580 million, so roughly half of the EUR 1.2 billion. So you know that the dynamic of the summer was quite good. It has continued, as I said earlier, in Q3. So we're very happy with this. That's very important in our model as you've all very well understood, where we've invested substantially in our competitiveness, and we can confirm our commitments on our profit outlook, thanks to the strong contribution of this cost savings. So things progressed as we had planned in Q3 on the cost savings and the confirmation of the fuel number. So on Cora & Match, I think that this slightly lost, but it's probably available in the public Kantar data before we took over they were relatively stable, maybe minus 0.10% or something like that, that relatively stable. Their performance is relatively consistent with what we see in our format, maybe sometimes a little better. We think that the fresh offer that they have is particularly appealing to consumers. You know that's something that we want to capitalize on and then over the past few weeks, but just a handful of weeks, they're starting to be converted. So since September 1, the stores start to receive the Carrefour private label products, and it's a supplier-by-supplier discussion. And then we're also changing the banners we will be done with this. We are about halfway and would be done at the end of November. And as we change the banner, the stores benefit from all the promotional activity of Carrefour. So that's a positive for these stores. Last question is on dynamic of market share and the volume market share in France.  When will it turn positive? Hard to know we're doing everything we can to turn or market share volume from stable to positive. We think that a number of conditions are met for this to happen. First is our price image, then is our store execution, which is also included in the NPS in terms of how the store is run and how we interact with consumers. And so all that ends up in the NPS and so it's plus 5 points, as I said earlier. So our competitiveness is the best since 2020. As I said, and most of you know that in 2021 and '22, Carrefour gained market share for 2 years in a row. So we think that we have now aligned a number of conditions for this to happen. So let's give our consumers a little more time for them to totally perceive all the efforts that we have done and that their shopping habits to come more frequently to Carrefour.
Operator: Your next question comes from the line of François Digard from Kepler Cheuvreux.
François Digard: Three questions, if I may. About the nonfood sales, you explained it was linked to the end of the promotions in HPC. And that particular part of the business, what's kind of long-term pace do you see in the future? That's my first question. The second question when you said in H1 to expect profitability normalization in H2 in Europe, where are you contemplating the kind of figure you just posted in Q3. And last question about the tax impact of the fiscal law discussed in France currently. Do you expect the impact to be in the EPS of '25, '26 or '24, '25 because some of French companies recently shared our view on that during the Q3 call and some of them are guiding to an impact in '24 or not in '25 like I saw it previously.
Matthieu Malige: Thank you, Fran�ois. So one -- on your question on HPC. So at Carrefour, HPC is food. I know we don't eat hygiene products that it's reported in the food line.
François Digard: Maybe on nonfood, my question was more on nonfood.
Matthieu Malige: Okay.  Sorry, I saw it was on HPC. So just to finish on HPC. So less promotion in Q3, but more generally, since the implementation of the law on March 1. The market is negative, minus 3. I think since the beginning of the year and minus 6 since the implementation of the law. I think it's probably a onetime effect. And once we have lapped these we should get in this product category to more normal trends. On nonfood, dynamic is negative. It's been negative for a while. Obviously, nonfood is more discretionary consumption, as you will see on specialized retailers. So the trend is negative. At group level, it's excluding Argentina on hyperinflation, it's slightly negative on bazaar and textile and slightly positive on [indiscernible]. Hard to know when these trends change, clearly, purchasing power is progressively being restored. We start to see signs -- positive signs on the food consumption. It's likely that at some point, it also positively impacts the nonfood consumption. The second question is on the profitability of Europe for the second half. So as you rightly said, the profitability was down in H1, we flagged a few elements, notably price investments, adverse weather in Q2, notably and then the integration costs in Romania. So the one-offs, obviously, will not replicate in H2. As far as the price investments are concerned, we have continued these price investments over the summer. But at the same time, we see positive market dynamics in terms of volume. So there's notably since September, we've already that's why we flagged it in our communication tonight. We've really had July and August, this Q3 and then a different trend in all our European countries and notably in Spain since the beginning of September, and that continues in October. So better volume, as I said in my speech. So that's positive. Well, all in, given notably the additional price investments that we've made in the market. I think that the recurring operating margin will probably -- or recurring operating income will probably still be under pressure in H2 but clearly, to a much lesser extent than what it was in H1. Then on your third question relating to tax. It's all work in progress. And for those of you who follow the discussions at the parliament that there's a number of new proposals which are coming up every hour. So it's hard to see precisely where it would land. On the timing of the tax, if the tax -- the additional income tax is applied on the 2024 results by law then it will impact our 2024 EPS then the cash impact will probably be in 2025, but the P&L and so EPS impact will be in 2024. But again, I don't know what will be the final project of the government.
Operator: And the next question comes from the line of Rob Joyce from BNP Paribas.
Robert Joyce: Afraid 3 from me as well. Just on the French market, I guess I'm still struggling a little bit. It sounds like you're your tone is pretty positive. I look at the sort of external data, I see sort of market potential in deflation, volumes still under pressure, nonfood maybe a lead indicators still tracking minus 6. I'm just Wondering, is that positivity really just coming from organic sales picking up? Or is there something more you're seeing that we can't see in the external data. Second one is also on France, just on the French margin comments. Is that French margin excluding the impact of the Cora & Match acquisition that's sort of flat to small up? And then what sort of -- can you remind us what sort of EBIT impact you're expecting from Cora & Match in the 2024 numbers. And then the final one I have to ask if somebody did on consensus. I think we've got EBIT now looking about 2.42 on Visible Alpha. I was just wondering if you think that is about the right number or does that move a bit further given your comments on Europe just now?
Matthieu Malige: Thank you, Rob, for your questions. So first, on the dynamic of France. So what we see again is that volumes are improving progressively. When looking at it, there is quite different data. It doesn't happen that frequency. But when you look at Kantar, Nielsen and Circana they have slightly different numbers. So I won't point to a specific number. But what they all agree on is that the volume trend is improving month after month and quarter after quarter. Since the deep of the inflationary crisis. So we think that that's good. When we combine this with the trading up that we see again on organic products, on national brand. We see also fresh -- there's a positive trends on fresh products, and we know that there are a little more expensive that's positive. Then our numbers obviously don't reflect that because of all our price investments that we have implemented into the market for the past 12 months. On your second question relating to the outlook for the year in France and the Cora impact. So my earlier comments are excluding Cora, we shared back in July 1 page, and we've actually included it again tonight in the deck that's Page 16 of the slide that we've shared with you tonight on how we see -- so that's the slides that we shared with everyone back in July. We think that Cora will be marginally negative on the profitability of France, again, marginally, given the small numbers at stake. Just to recap, so the Cora itself in terms of operating performance will be slightly positive because the businesses are progressing well, and they're delivering positive performance. But then there will be a number of one-offs which will weigh in the recurring operating income relating to the conversion and integration of Cora & Match. We said that about half of the OpEx one-off will impact 2024 and the other half will impact 2025, mainly in H1 2025. So the consolidation and integration of Cora will be marginally negative again marginally. So I don't think it should change the global picture for France. Then last question on the consensus for the group on a full year basis. When we -- so I won't point to a specific number, we never do that. But when we look at it, we think that the underlying assumptions seem consistent with what we see for the rest of the year. So that's for group. And then for France, we commented. And so you heard in my speech a tone of confidence for the end of the year. Again, consumer confidence going in the right direction, the volume trends, price positioning and then our cost saving program, I answered to that earlier, which is progressing well that's the grounds for confidence on for the end of the year.
Operator: [Operator Instructions] And your next question comes from the line of Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Matthieu, really a couple, I think most have been done. Maybe just in terms of hypermarkets, are you able to give us anything on traffic that's sort of giving you some of this confidence in the better volume performance that you're indicating if you can share anything there, that would be very helpful. Secondly, just in terms of the sale and leaseback transaction we see in Brazil and more broadly, anything you can point us to in terms of what we should expect for property disposal contributions to the free cash flow, that will be very helpful for modeling purposes.
Matthieu Malige: Thank you, Sreedhar. Well, nothing specific on traffic. Again, most important is the volumes of products. What I -- maybe additional comments that we've -- the first quarter where it happened, we've been positive in some months in France in Q3 in terms of volume of products sold, which is something that has not happened for quite some time. And that's obviously a combination of better volumes in the market and of our stabilization of market share in volume terms. Then on the share sale and leaseback, which was announced by [indiscernible] just for make sure everyone's seeing that yesterday. So I think 15 Atacad�o real estate, which was sold to a local investor Guardian for BRL 725 million. The cap rate is 8%, which given where interest rates are in Brazil. which we think is an interesting value proposition to seize the opportunity. Well, in terms of full year number for real estate. I don't -- I think we'll be in the kind of magnitude of divestments as we've had over the past few years. Again, our strategy is to regularly rotate our assets depending on the opportunities we have. And in parallel to these real estate divestments, we have real estate investments every year, and they also will probably be in the same dynamic as we have every year. So nothing specific on the volume of real estate asset rotation for the [indiscernible].
Operator: There are currently no further questions. I will hand the call back to you for closing remarks.
Matthieu Malige: Well, many thanks to all of you. Thank you for your questions and attending this call. That we can close. And so we'll gather again in this format on February 19 for our full year results. And since then, we'll probably have the pleasure to see again a number of you. Many thanks and good evening.